Operator: Good morning. My name is Katie, and I'll be your conference operator today. At this time, I would like to welcome everyone to Goodyear's Third Quarter 2025 Earnings Call. [Operator Instructions] Please note this call may be recorded. It is now my pleasure to turn the conference over to Ryan Reed, Vice President, Investor Relations. Please go ahead, sir.
Ryan Reed: Thank you, and good morning, everyone. Welcome to our third quarter 2025 earnings call. With me today are Mark Stewart, CEO and President; and Christina Zamarro, Executive Vice President and CFO. A couple of notes before we get started. During this call, we'll make forward-looking statements and refer to non-GAAP financial measures. For more information on the most significant factors that could affect our future results and for reconciliations of non-GAAP measures, please refer to today's presentation and our filings with the SEC. All our earnings materials can be found on our website at investor.goodyear.com, where a replay of this call will also be available. I'll now turn the call over to Mark.
Mark Stewart: Thank you, Ryan, and good morning, everyone. Thank you for joining our call. As outlined in our press release, we delivered revenue of $4.6 billion and segment operating income of $287 million in the quarter, results slightly ahead of the revised expectation we shared with you all on our last call. It's important to view these results in the context of an industry environment that remains challenging, particularly given continued volatility and global trade flows. Even in that environment, we achieved meaningful sequential earnings and margin expansion, driven by the continued strong execution of the Goodyear Forward initiatives. Last quarter, I emphasized our focus on controlling the controllables and that approach continues to guide our actions here at Goodyear. With yesterday's announcement on the Chemicals business, we've now completed our planned divestitures, and we're bringing the balance sheet back to a position of health. We've introduced more premium product lines than ever before while improving organizational agility and sharpening our focus on margin and profitability. We're positioning the business to be able to leverage those strengths as the market environment begins to normalize. With the remainder of my time today, I'll discuss what we're seeing across the industry and in each of our business segments, also how we're responding. After that, I'll hand it over to Christina to walk through our third quarter financial results and how we're thinking about the outlook for the remainder of '25. Let's start with the Americas. In the Americas, the consumer replacement market continued to experience disruption similar to last quarter. On the consumer OE side, volume performed well, supported by strength in light truck and SUV fitments. Additionally, we've won additional fitments driven by OEM preferences for USMCA compliant supply. We expect OEM resourcing to remain a positive contributor for us going forward. As you all know, with U.S. tariffs on consumer tires effective in May, the domestic replacement market saw a surge of low-cost imports, coinciding with the implementation of increased duties during the first half of this year. In the third quarter, U.S. non-USTMA member imports were up an estimated 2%, which is actually a positive development compared to the significant growth we saw in the first half of this year. More recently, we're hearing that the low-end imports may have slowed further, though it may take more time to confirm that trend, given the current government shutdown, which impacts the reporting of the imports. As we look at the drivers for the industry at a macro level, U.S. vehicle miles traveled are trending up about 1 percentage point year-to-date, while industry sellout is roughly flat, suggesting consumers are extending the replacement cycle. Meanwhile, dealer and distributor channel inventories remain elevated with prebuy, and we expect the consumer replacement environment to stay challenging in the near term. Our focus in that environment has been on introducing new high-margin product lines, the 18 and above rim size and targeted product line extensions to drive our earnings in the coming year. In October, we've revitalized our all-terrain product portfolio with the launch of 3 new product lines that were designed for SUV, light truck and off-road applications. The new lineup includes the Goodyear Wrangler Outbound AT, Goodyear Wrangler Workhorse AT2 and the Goodyear Wrangler Electric Drive AT. We've also finalized our famous Goodyear Eagle F1 lines with our new all-season tire for the high-performance segment as well. Our products are absolutely second to none, and the consumer feedback during launch events has been exceptionally strong. We're also better aligning distribution and retailer partnerships to ensure priority availability and service for our most profitable products. In our company-owned retail stores, we are upgrading the store and the customer experience through multiple enhancements, including the addition of more products, more financing options and a complete refresh of the environment in select locations around the country. As I've mentioned previously, we've been able to achieve meaningful earnings growth in our retail business over the past year, through increasing same-store service revenues and through the addition of new last mile mega fleet business. With this proven success in our existing footprint, we plan to open a slate of new brick-and-mortar store fronts in the coming quarters. Strengthening our retail footprint will help our retail business be even more of a differentiator for us in the future. Conditions in the Americas truck business were similar to the second quarter. Heavy truck builds in the U.S. declined over 30% as OEMs adjusted production amid reduced end market demand, driven by the uncertainty over EPA emissions mandates. In the replacement, imports remained elevated during the third quarter as the commercial tire IEEPA tariffs were implemented in August. As we finish the year, we expect fourth quarter industry conditions in the U.S. to broadly reflect the same dynamics as the third quarter with elevated channel inventories and potential for some incremental reductions in OE volume, given multiple OEM customer supply chain challenges. We continue to expect momentum to return as we work through some of the transitory headwinds we're seeing today. Let's turn to EMEA. Similar to the U.S. dynamics, EMEA's consumer replacement industry was driven by a prebuy of imports ahead of the tariffs expected early next year. While domestic manufacturers lagged the industry, we reached an important milestone for our EMEA business. We returned the business to profitability following a weak first half. This improvement was driven by 20% growth in our consumer OE volume, representing more than 3 points of market share gain. At the same time, OE profit per tire in EMEA is increasing, so we are making the right choices with our OE partners as well. Our OE portfolio is a testament to our industry-leading tech as well as our product performance. We also completed 2 major factory restructuring actions in the region during the quarter, which strengthens the foundation for continued operational performance in EMEA. Looking ahead, our winter order book and channel inventories are healthy, and we are optimistic as we think about EMEA's earnings potential in the fourth quarter. Turning to Asia Pacific. Execution and SOI margin remained strong. Over the course of this year, we've exited less profitable SKUs and continue to increase our mix of high-margin product lines in the region. In the third quarter, we outpaced the consumer replacement industry as far as growth in our Goodyear brand, 18 and above rim sizes in China. As our recent OE fitment wins with Geely, VW and Toyota ramp through the fourth quarter, we expect to return year-over-year OE growth and further improve SOI and margin from today's levels. Before closing, I'd like to add that even with the uneven market backdrop, our steady and consistent execution of our Goodyear Forward Plan has been even more important for us to position the business for near-term stability as well as long-term success. I'd like again to acknowledge the efforts and the results of all of our associates around the world and thank them for what's been accomplished thus far. Goodyear Forward is much more than numbers on the sheet of paper. This program defines the evolution of the company and how we will continue to create value going forward. With that, I'll turn it over to Christina.
Christina Zamarro: Thank you, Mark, and good morning, everyone. Our third quarter results show lower costs with the benefit of Goodyear Forward and a significant reduction in debt. We are well positioned for growth as the broader economy strengthens in 2026. Prebuy channel inventory tied to tariffs is depleted and the implementation of tariffs in the U.S. and potentially in Europe, begins to reshape market dynamics in our favor. Turning to the financial results on Slide 9. Third quarter sales were $4.6 billion, down 3.7% from last year, given lower volume and the sale of OTR, partly offset by price/mix improvements. Unit volume declined 6%, reflecting lower consumer replacement volume. Segment operating income was $287 million, decreasing from last year, but reflecting an increase of $128 million compared to the second quarter. Goodyear net loss of $2.2 billion was driven by noncash nonrecurring items including a deferred tax valuation allowance and a goodwill impairment in the Americas. The valuation allowance against our tax assets does not limit our ability to utilize them in the future. After adjusting for significant items, our earnings per share were $0.28 compared to $0.36 last year. Turning to the segment operating income walk on Slide 10. The sale off-the-road business reduced earnings by $10 million. After this change in scope, our segment operating income declined $49 million versus last year. Lower tire unit volume and factory utilization were a headwind of $90 million and price/mix was a benefit of $100 million, driven by our recent pricing actions and RMI contracts. Raw materials were a headwind of $81 million. Goodyear Forward contributed $185 million of benefit during the quarter. Inflation and other costs were a headwind of $137 million. Other costs include approximately $40 million of tariffs, $25 million of manufacturing inefficiencies related to factory closures and lower production and $20 million of increased transportation and warehousing costs. The nonrecurrence of insurance proceeds received last year was $17 million and other SOI was a headwind of $16 million. Turning to the cash flow and balance sheet on Slide 11. we Cash flow from operating activities was about flat for the quarter, including third quarter CapEx, free cash flow was a use of $181 million. As I mentioned last quarter, our year-to-date free cash flow includes a portion of the proceeds from asset sales, reflecting the value of long-term supply agreements and a prepaid for Dunlop inventory that will transfer at the end of the year. The remaining amount will be amortized into SOI over roughly 6 years. We expect our year-end benefit in operating cash flow related to the various supply licensing and transition agreements to be approximately $370 million, inclusive of the chemical sale. Pro forma for the chemicals transaction, our third quarter debt declined about $1.5 billion, which reflects asset sale proceeds net of fees, partly offset by cash used for working capital and restructuring over the last 12 months. We continue to expect to generate significant free cash flow in the fourth quarter, consistent with our historical seasonality. Moving to the SBU results on Slide 13. Americas unit volume decreased 6.5%, driven by consumer replacement. U.S. consumer replacement industry sell-in was down 4% during the quarter, with industry members declining and low-end imports up 2%. Importantly, year-over-year growth in imports has slowed from both Q1 and Q2. Our Americas consumer OE volume grew 4%, reflecting industry recovery in the U.S., where we continued to outperform the industry in our share of fitments. Q3 marks the seventh consecutive quarter of OE share gains in the Americas. Americas commercial OE volume declined 33% as OEMs decreased production given continued weakness in freight market conditions and uncertainties surrounding the implementation of 2027 EPA mandates. The U.S. commercial replacement industry saw nonmember import growth of 64% during the quarter, just ahead of August effective date for IEEPA tariff implementation. Americas segment operating income was $206 million, a decrease of $45 million compared to last year, driven by lower volume and partly offset by Goodyear Forward benefits. Turning to Slide 14. EMEA's third quarter unit volume decreased 2%, driven by declines in replacement volume given prebuy of low-end imports in the EU. We expect the EU to make its final tariff determination early next year. As a reminder, proposed tariff rates are 41% to 104%, and we expect that the tariffs may be applied retroactively through the end of October. During the third quarter, we announced the relaunch of the Cooper brand in EMEA to fulfill customer demand following the sale of Dunlop. The availability of the Cooper brand across our regional network will ensure our portfolio provides a comprehensive and competitive offering. EMEA's consumer OE continued to be a bright spot, where volumes grew 20%, reflecting continued OE share gains. Like in the Americas, this is the seventh consecutive quarter of OE share gains in EMEA. Segment operating income was $30 million for the region, up $7 million, driven by price/mix benefits. Turning to Asia Pacific on Slide 15. Third quarter unit volume decreased 9%, driven by consumer OE and replacement volume. Lower consumer replacement volume was driven by actions we've taken to reduce low-margin business and realign our distribution and retail strategy in the region. OE volume was lower, given our customer mix with aggressive new car promotions in China, mostly supporting opening price point vehicles. Segment operating income was $51 million and over 10% of sales. As Mark mentioned earlier, for Asia Pacific, we expect to return to volume growth during the fourth quarter, driven by the ramp-up of new fitments and higher replacement volume. Turning to our fourth quarter outlook on Slide 17. We expect a meaningful sequential increase in SOI in the fourth quarter, with all regions contributing to the step-up in earnings. And on a year-over-year basis, we expect Q4 SOI growth in the mid-single-digit range, excluding the impact of this year's divestitures. In consumer, we expect replacement volume to be impacted by high channel inventories in the U.S. and EU. Consumer OE volume growth is expected to be consistent with the third quarter. Our expectation for commercial truck volume is extremely modest, given ongoing industry challenges. Overall, we expect global volume to be down about 4%. In addition, we expect higher unabsorbed fixed costs of $70 million, reflecting lower production volume of 2 million units in the third quarter. In addition, with the industry volatility we've experienced this year, we expect our fourth quarter production to be as much as 4 million units lower than last year. Fourth quarter price mix is expected to be a benefit of approximately $135 million, driven by pricing actions taken earlier in 2025. Raw material costs will be a slight benefit, given current spot rates and Goodyear Forward will drive benefits of approximately $180 million during the quarter. Inflation, tariffs and other costs are expected to be a headwind of approximately $190 million in the quarter, reflecting higher costs given U.S. tariff impacts and a global inflation rate of about 3%. This amount includes tariff costs of approximately $80 million and above average increases in freight rates and increased manufacturing inefficiencies related to lower production. Based on rates in effect today, our annualized tariff costs are expected to be approximately $300 million, which is $50 million lower than we cited last quarter as Canada eliminated tariffs on imports coming in from the U.S. effective September 1. We continue to expect proceeds from business interruption insurance related to our fire at our factory in Poland in late 2023. This benefit should mostly offset the nonrecurrence of $52 million of insurance proceeds received last year. And finally, the sales of OTR and chemical will be a headwind of approximately $30 million in the fourth quarter. Turning to Slide 18. Our other financial assumptions include some puts and takes, including an update to our assumption for 2025 working capital, given second half volume and an increase in restructuring given a new Q4 program. With all of the work we've done to improve the balance sheet this year, we are focused on driving strong free cash flow through the end of the fourth quarter. Finally, as a reminder, the $2.2 billion in proceeds from asset sales will be reduced by fees and taxes. We previously guided total transaction fees including indirect fees related to carve-out administration as well as taxes at approximately $200 million, the majority of which will be paid this year. These costs will be included in operating cash flow. So as you think about how to account for asset sales and your modeling on our cash flow statement, we expect cash flow from investing activities to reflect proceeds of approximately $1.9 billion, and cash flow from operating activities to reflect $370 million of proceeds that will be amortized into SOI over roughly 6 years, offset by up to $200 million in fees. With that, we'll open the line for your questions.
Operator: [Operator Instructions] Our first question will come from Itay Michaeli with TD Cowen.
Itay Michaeli: First question, just on some of the consumer OE market share gains that you've been reporting. I'm just curious how we should think about that going forward? To what extent is it just a function of prior wins? And do you sort of have a view on kind of how your OE volume may track just relative to the industry going forward?
Mark Stewart: No. Thanks, Itay. As we look at it, OE has been one of the key focus areas since I joined the company and we looked across -- actually across the world and what was our current percentages of OE versus replacement. And so there was definitely an opportunity for us to move up in that and create that nice pull-through on those first and second replacement cycles. We had not had enough exposure to the premium, larger rim sizes. And the very best way for us to affect that change in a fast manner is through the enhanced OEM partnerships. And it absolutely is about more premium pricing, larger sizes, larger margins. We know we can get out there and win with OE. We've been really pleased. As Christina mentioned, we've got 7 quarters in a row of growth in both the Americas and in EMEA on that consumer OE business. And as we look to the partnerships that we've gotten with our strategic OEMs around the world continues to get stronger on the technology road map as well as winning on the right fitments and the right platforms around the world. The other piece as I mentioned in my opening part of the session, we've definitely seen a preference from the OEs in the Americas, specifically around the USMCA compliant. And so we've seen some nice tailwinds coming forward with that as well.
Itay Michaeli: Terrific. That's great to hear. And just secondly, I appreciate the detail on the Q4 kind of SOI drivers. I was hoping we could talk a little bit about 2026 puts and takes particularly around kind of price mix and raws, and what that might look like at the current study state as well as any kind of early thoughts on some of the other cost movements we should kind of just be thinking about in our models for next year?
Christina Zamarro: So we'll be able to be a lot more specific on 2026 on our conference call in February, but we do know a handful of factors based on our Goodyear Forward programs and as you mentioned, based on where current rates are today. So as we think about SOI, I'd say Goodyear Forward carryover cost benefits should be at least $250 million. Of course, we're looking at all levers to pull ahead cost reduction. Flow-through pricing based on actions we've taken to date in the market will be around $100 million. That's before RMI indexed agreements kicking in next year, which will reduce that somewhat. Of course, Mark mentioned a lot of the new SKUs coming in. So we will continue to push price mix in a positive direction next year as well. Raws at current spot rates will be a benefit of $200 million, and that's inclusive of the chemical transaction, meaning the portion of internal supply that moves external is now included in our raw material base. But even with that headwind, raws should be a benefit of $200 million. And then inflation typically sits around on our cost base, $200 million to $225 million of headwind. I'd also expect tariff carryover costs at current rates. Of course, a lot is moving around, but tariff carryover in the range of $150 million to $160 million next year. And then we have an insurance collection we're expecting in the fourth quarter, which we would have a nonrepeat. I think that gives you most of the puts and takes, excluding the asset divestitures, which there are different impacts from most notably, EMEA will have a headwind related to the sale of Dunlop in the range of $65 million. Reduction in our earnings related to chemical is going to be about $35 million plus some stranded overhead of about $15 million. Now all of that will be partly offset by amortization of that $370 million that we talked about earlier in the prepared remarks, that should be a benefit of about $60 million next year. So a lot of puts and takes, a lot of reasons to believe that we have some tailwinds that we'll be able to capitalize on in 2026.
Operator: Our next question will come from James Mulholland with Deutsche Bank.
James Mulholland: I was wondering if you could give us an update on the commercial vehicle environment and whether you've seen any kind of improvement or stabilization? In the deck, you mentioned that U.S. commercial replacement was up, but it was driven pretty much entirely by low-cost imports. So I guess the question is, is the similar dynamic playing out there as in light vehicle for the last few years where low-cost imports are coming in, they're taking significant share. And would I guess, you expect that to eventually put margins on commercial vehicle, which has traditionally been very strong?
Mark Stewart: Yes. Maybe I can start and then we'll turn it to Christina. When we think about the commercial PV, you're right, right? There has been some trade down, particularly with smaller fleets or the 1z or 2z types of ownership, if you will. Our overarching fleet business, though, remains very strong, right, in the subscription market that we have as well as our rollout of the tires-as-a-service that is a little bit ahead of schedule when it comes to Europe and it's just coming to the U.S. market. But we think about in '24 overall unit sales of about 11 million units, including OE and replacement in that commercial market, we continue to focus on premium fleet customers that really drive that pull-through through the OEs. But we have seen as well through the marketplace, the typical prebuy we would see on the emission changes on engines, on the commercial truck world has been very low, right? And it's -- with the questions around the emissions and what is really happening with that. So a lot of the large fleets -- most of the large fleets have opted to extend the life of their current and some of the feedback we've gotten from customers that the cost of ownership for them at this moment is to hang on to those trucks that they have for an extra period of time, which in terms of our subscription modeling actually is okay for us for that side, right? But when we look at it over the last several years, peak margins were kind of high single digits during a 13.5 million to 14 million unit volume. And just given the current freight environment and this regulatory uncertainty I mentioned, it's been definitely a challenging marketplace for the entire industry globally, probably unprecedented, actually.
James Mulholland: Got it. Okay. So I guess my second question is, I was wondering if you could just double click, I guess, on the broader channel dynamics and what you're seeing. A few months ago, we were sitting here, we were talking about the eventual low-cost inventory digestion following that massive inflow that we saw around tariffs on, but it doesn't feel like that digestion is really materializing yet. I know Christina said, we're probably going to see at least a little bit further before that starts to hit. Do we have any line of sight on when you think that might start to flow through? Or is that really going to be something that could be here for quite a bit longer?
Christina Zamarro: Thanks for the question. I would say just given the fact that the U.S. industry was negative in the third quarter, sellout continues to trend more positively. We're beginning to see some of the channel inventory sell-through at our -- with the current data that we have, we'd say that the remaining excess in the channels would take at least through the end of the fourth quarter to sell-through in consumer replacement to your point a little earlier in commercial, there's just been this continued glut of prebuy in through the third quarter. And I think that will take longer on into Q1 of 2026. I think the commercial side of the business, as Mark was just mentioning, actually tends to see a significant portion of supply on a run rate basis coming from imports. And so over the longer term, I think commercial trends will be healthier, but we will need to work through the excess imports over the course of the next couple of quarters in commercial.
Operator: Our next question will come from Ross MacDonald with Citi.
Ross MacDonald: It's Ross MacDonald at Citi. Two questions for me. First one on EMEA. It looks like very strong OE performance. I know Itay already asked on this. But given the 20% volume growth in EMEA original equipment in 3Q, could you maybe just drill into if there's any specific platforms or products that are taking the lion's share of that volume growth? Or is this broad-based market share gains you're making in OE, it'd be very interesting, I think, to understand what's underlying that? And then, Mark, you mentioned that the profit per tire in EMEA is improving. Could you just elaborate on how much of that reflects specifically the winter tire strength that you've called out in Europe versus how much of that improving profit per tire in EMEA should we reasonably expect to carry over into 2026. So that's my first question on EMEA. And then secondly, I see in your Q4 indications, a comment around potential further rationalizations. Could you maybe elaborate on if there's a new plan that we should expect in the fourth quarter? Any details of what that might look like and if that's focused on any 1 particular region.
Mark Stewart: Sure. So maybe just to start, I would say that to the first part of your question -- I think you got 3 in instead of 2, Ross, by the way. But I don't know No worries, all good. When you look at the EMEA market, it's actually broad. We have been moving up with the players. One of the differences that when we rolled into our longer-range planning coming into the start of '25, when we put David Anckaert in over our product tech and product planning road map in conjunction with Chris Helsel in engineering was really making sure that we've got the right relationships, the right OEM strategies and the right technological partnerships with those OEs. And again, we're seeing the benefit of that on the go forward. But in the here and now, as well as we look at some of the OEMs coming back stronger in EMEA that we're actually on some really good fitments broad-based across Europe, which is why I think you see that 7 quarters of growth in EMEA on the consumer OE as well as it's a conscious decision as well, right? We are continuing, as we mentioned, not only in Americas but around the world as we globalize our product development to fill the blank spaces with premium product. And specifically the larger rim sizes and we're deprecating the SKUs that are lower margin that we don't make money on. And so we're seeing a partial lift from that as well as the new SKUs coming in and also some of the OEs coming back in the second half. But as well, you are right. The second half and the winter mix, we've been really pleased with our order performance from our customers on the winter mix as well. So all of those are looking good. On the second piece, the rationalizations, we've completed basically, call it, 4.5, I think, is the right way to say that, 3 in EMEA, 1 in Asia and a significant restructuring in one of the U.S. plants to really focus from that side of it. So all of those actions are on track as we committed to the Goodyear Forward Plan and the restructuring activities. As we get into quarter 4 and get ready really as we go to probably the February results as we come and share that with you all, we're continuing to top off and refill our Goodyear Forward as we look to a 2.0, and it's just embedded in our DNA of how we're running the business, and we continue to look and scan at what other things we do to move things from a fixed cost environment to a flex cost environment. So we're working very diligently with that around the world.
Christina Zamarro: With respect to the guidance, the increase in the restructuring basket was for a new program in the U.S. in the fourth quarter.
Operator: [Operator Instructions] Our next question will come from James Picariello with BNP Paribas.
James Picariello: Just hoping to clarify the insurance collection in the fourth quarter. Is this a new item? Or was this always embedded in the full year outlook?
Christina Zamarro: So James, we first brought up the insurance recovery in the fourth quarter on our second quarter conference call. So it's not new. We didn't have line of sight to it at the beginning of the year, however.
James Picariello: Okay. And it's about $50 million or so.
Christina Zamarro: Correct. Yes. That's related to business interruption from the Debica fire back in 2023, and we had called out about that amount as part of the disruption related to the fire.
James Picariello: Understood. Okay. And then with tariffs at an annualized rate of $300 million, can you just help us better understand what drives the seasonality to this? Because the third quarter was a full clean quarter of all tariffs and only came in at $40 million. The second quarter was, I think, $10 million. Like what's implied for the fourth quarter? And then, yes, just help us understand the seasonality to this.
Christina Zamarro: So broadly, the seasonality should follow our volumes, which tend to be a little lower in the first half, particularly in the first quarter and then seasonally stronger in the second half of the year. What I would say about the third quarter tariff amount coming in right around $40 million, a little bit less than we had expected. Some of that was a basketing issue as we look to pull tariffs out of raw materials. We overestimated the amount of tariffs for Q3 and underestimated raw materials, you can see it's a net there. Also, because of days inventory, lower volume in Q2, lower volume in Q3, tariff costs are little pushed into Q4. So James, what I would say right now, based on rates we see today, fourth quarter tariff costs should be about $80 million. And then the flow-through into next year, looking around $160 million, mostly weighted to the first half. And so I'd say something on the order of $60 million to $65 million each in Q1 and Q2.
James Picariello: Got it. If I could squeeze in 1 more. I appreciate that. In regards to the chemicals divestiture, I could see the guided $7 million of lost EBIT for the 2 months post sale. Can you just clarify what the expected annualized impact is for that chemical sale? Because it sounds as though there is an involvement of the divestiture, and that will show up in a raw material headwind for next year. So just hoping to clarify what those [ headwind ] versus internal buckets look like.
Christina Zamarro: Yes. No, that's right. So it's going to show in a couple of different baskets, part lost earnings in SOI, part increase in raw materials as we move to third-party sourcing. I think about this total impact of being something in the order of magnitude about $120 million all in. Just the earnings, the lost earnings, James, will be about $45 million of a headwind on an annualized basis. You can think about doubling that. And the other portion would then show up in raw materials, maybe with some additional margin for our new supplier, and then stranded costs will be about $15 million in conjunction with the transaction. Of course, we're going to look to flex costs as part of our ongoing savings initiatives next year.
Operator: Our next question will come from Ryan Brinkman with JPMorgan.
Ryan Brinkman: You've gotten the one about low-cost tire imports into the U.S., maybe a similar one, but about Europe. What I think can you provide there with regard to what you're seeing, with regard to potential tariffs that could be implemented in that market? And then as well as what might be happening with regard to the prebuy of those tires? Is it tracking any differently to what you saw in the U.S. given the potential, I think, for tariffs to maybe be made retroactive to the date of the opening of the antidumping investigation?
Christina Zamarro: Ryan, I would say what we're seeing in Europe feels a lot like the U.S. just on a quarter or 2 lag because the tariff announcement came a little bit later. We have seen over the course of Q2 and on into Q3 a lot of prebuy of lower-end tire imports. And what this means is that our dealers and distributors are saving warehouse space and saving liquidity in order to stockpile these imports. I think as we look to the fourth quarter, not expecting so much of an impact. We do not see the same competitive dynamics necessarily on winter tires that we do in summer or all-season. I think we still would say that the EU consumers are very sensitive to making sure that their winter tires come with a very high quality and performance. Expect that it will take on into 2026 to sell through some of that all-season and summer prebuy because it's, again, not really for winter tire selling.
Ryan Brinkman: Okay. And on the look ahead, thank you for 2026. I heard Christina, I think you said $250 million of savings from Goodyear Forward. I mean, just looking at the numbers, from Slide 6. It seems like with Goodyear Forward savings expected to be at an annualized run rate of $1,500 million by 4Q this year and with $750 million of SOI benefit in '25 on top of $480 million in '24. You should have like $270 million, I think, year-over-year benefit in '26 just from the anniversarying of what you've already accomplished without any incremental action required on your part. Is that the right way to think about that? And then because I heard Mark reference, I thought, 2.0, I think Goodyear Forward 2.0, I presume and Christina, did you say something about an incremental cost save program here in 4Q. So just curious if the overall cost saves could be maybe substantially greater than $250 million in '26 to help defray that $250 million -- or $200 million of inflation, general inflation headwind to help ensure that some of these savings go through to the SOI line?
Christina Zamarro: Well, certainly, looking ahead, our goal is to make sure we're never done with self-help. And the $270 million flow-through is exactly the right number based on the math and the calculations for flow-through. And as I mentioned earlier, we're going to look to accelerate cost reduction into next year. I think we'll be able to share more about our plans as part of our February conference call for 2026. But as Mark has mentioned in the past, this is a lot about making cost savings a lot about the way we work, making it part of the company's DNA and how we will position growth for the company going forward.
Ryan Brinkman: That's helpful. And just lastly, I know you said strong cash flow in the fourth quarter. You always have extremely strong cash flow in the fourth quarter. Is there any sort of way to dimension that or provide an update on the puts and takes, how you expect the full year to shake out in '25?
Christina Zamarro: Sure. So if you're looking at the drivers of SOI, I think you should get to a level of about $370 million, $375 million in the fourth quarter. That should bring you inclusive of corporate costs and D&A to an EBITDA of about $1.8 billion. On the operating side, and our free cash flow drivers, there were several puts and takes, but everything we've laid out pretty much is a net. So on an operating basis, I would say free cash flow is about breakeven. And then what we said as part of this call is that our asset sale fees, which we've indicated will be about $200 million are going to flow through operating cash flow this year. And so as you think about the geography, we should show cash flow from investing activities, proceeds from our asset sales of about $1.9 billion and then breakeven cash from operations excluding $200 million of fees that will also flow through there as well.
Operator: Our next question will come from Emmanuel Rosner with Wolfe Research.
Emmanuel Rosner: I was actually hoping to pick it up right here, which is you were very helpful with the puts and takes -- early puts and takes of SOI into 2026. Just curious about how to think about the early puts and takes on the free cash flow compared to what you just described for 2025. It sounded like, at least on an SOI basis, the expectation of modest growth this year when I quickly added your puts and takes. But anything to think of in terms of the free cash flow items. And in particular, that portion of the asset sales that flows into the cash flow from operations this year, would it be missing next year?
Christina Zamarro: So Emmanuel, on cash for 2026, we know that restructuring flow through from Goodyear Forward would be about $200 million to $250 million, so significantly less cash outlay than we saw in 2025. Also, interest expense will be a lot lower. Obviously, we've been doing a lot of hard work to get to the lower leverage, and we would expect net interest expense to fall in the range of $425 million. That's down about $100 million since the end of 2023 and since we first started Goodyear Forward. When I look at the amortization of the $370 million, I'd expect about $60 million beginning in 2026.
Emmanuel Rosner: Okay. And so I guess putting that all together compared to that breakeven on an operating basis that you're speaking about for 2025 directionally, where would that leave us for '26?
Christina Zamarro: So Emmanuel, we'll be able to be a lot more specific as to our drivers of -- SOI drivers of free cash flow on our February conference call. We have volumes down in the second and third quarter also anticipating that in the fourth quarter, wanting to see some of this industry disruption work its way through the channels before we guide into next year.
Emmanuel Rosner: Understood. And then one question on tariff, please. So I appreciate all the color around the impact this year and sort of like the annualization into next year. Can you talk about -- is there any room for mitigation efforts in terms of either moving things around or just sourcing it differently? Just a quick update, please, on any way to sort of like reduce that load on a go-forward basis.
Mark Stewart: Yes. So we're really working on it on all fronts on it when you think about Emmanuel from we're -- first of all, we're super active in D.C. on a regular basis, making sure that we've got our viewpoints and fact points in. And we've got really strong working relationships with the right folks in D.C. around that can help us on the right implementation of the tariffs and how to do that to have best foot forward for Goodyear and our strong U.S. footprint. On the EMEA side as well, I think our lobbying efforts there also to the -- really the antidumping, I would call it, but really the tariff impact there. The teams have been working very hard with the EU on that. And cooperating with that aspect. When it comes to the rest of your question, right, we absolutely -- it's one of the reasons we created and I did the move to get us set up under Don Metzelaar for global manufacturing. So that we can constantly be pulling and looking at best landed cost around the world. As we've shared on earlier calls, right, we continue the journey of moving from a cost center approach to a P&L approach at each of our factories around the world to make sure that we're flexing cost structures that we are absolutely the most competitive we can be. And so as I mentioned before, I think we saw a lot of positive momentum and sourcing from OEMs in the U.S. market, preferring that USMCA compliant footprint that takes effect going into next year and then in the coming years as well when we look at that sourcing of that preferential really more preferred to the USMCA side. So absolutely, we're doing all those things and relocating things to moving within the footprint to have the best landed cost in the region or in some cases, it is still shipping from other locations, but we try to preference for in the region for the region wherever possible.
Operator: This concludes our question-and-answer session. I will now turn the meeting back to Mark Stewart for any final or closing remarks.
Mark Stewart: Thank you all for joining the call today. So that's a wrap for Christina and I, and I'm sure we'll have some other conversations with you guys over the course of the week. Clearly, while the short-term conditions have been pretty turbulent, right, with a lot of global trade volatility, but we are absolutely laser-focused on controlling the controllables, right? That is absolutely our mantra. It is about us continuing to drive the Goodyear Forward to conclusion and keep the pipeline refilled, and making sure that we are staying absolutely on our toes and all of our folks around the world continue to implement and make sure that we're monitoring our costs. At the same time, making sure that we are being absolutely focused on bringing the new SKUs into the marketplace around the world of the higher rim size, the premium rim sizes and deprecating low-end volume in terms of the margin play. We've completed our planned divestitures. We've restored our balance sheet to health, and we for sure are driving sequential earnings growth through our cost actions as well as our share gains. Our OEM volume growth, as we've talked a lot about on the call today, outpacing our 18-inch and above around the world, particularly in China. And then we're really excited about the new Wrangler and the Eagle F1 launches here. in the U.S. marketplace and the strength of our winter tire orders in EMEA, as we mentioned. So we're sharpening the portfolio. We're expanding our retail operations, and we continue to position ourselves to leverage as the markets resume a normalcy. So thank you guys for joining today.
Operator: That brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect. Thank you.